Nik Kershaw: Morning, ladies and gentlemen and welcome to VEON's Third Quarter 2019 Results. Nik Kershaw here, Group Head of Investor Relations. I'm pleased to be joined on the line by Ursula Burns, our Chairman and CEO; Murat Kirkgözis, our Deputy Chief Financial Officer; and Alex Kazbegi, the Group Chief Strategy Officer. Kjell Johnsen, our outgoing Chief Operating Officer as well as Kaan and Sergi our incoming joint COOs are also with us today. The presentation will start with an overview of our achievements for the first nine months of the year from Ursula, followed by a brief summary of our financial performance during the third quarter from Murat. Alex will then provide an operational review of the third quarter at a country level, after which Ursula will close the formal part of the call with an outlook for the balance of the year and some final remarks. As always with these calls, we will ensure that there's ample time for your questions at the end and we will ask the operator to moderate that. However, before getting started, I would just like to remind you that we may make forward-looking statements during today's presentation, which involves certain risks and uncertainties. These statements relate in part to the company's anticipated performance and guidance for 2019, future market developments and trends, operational and network development and network investments and the company's ability to realize its targets and commercial and strategic initiatives, including current and future transactions. Certain factors may cause actual results to differ materially from those in the forward-looking statements, including the risks detailed in the company's annual report on Form 20-F and other recent public filings made by the company with the SEC. The earnings release and the earnings presentation each of which include reconciliations of non-IFRS financial measures presented today, can be downloaded from our website. With that, I'd like now to hand the call over to Ursula.
Ursula Burns: So, thank you, Nik and good morning to everyone and thank you for taking your time to dial in to our third quarter results announcements this morning. Let me start our presentation by summarizing where our business stands as we move into the final quarter of what has been another eventful year for us. This will be a familiar slide to those of you who joined us for our Capital Markets Day presentation back in September. It sets out the core elements of VEON's investment case, alongside our achievements and milestones at the nine-month point. Taking each of these in turn. First, we continue to capitalize on the growth opportunities offered by our operating markets, which rank amongst the industry's most dynamic. We are growing useful populations and low levels of smartphone penetration, present us with a unique demographic dividend not present in developed markets. Monetizing our customers' appetite for data through the introduction of a growing ecosystem of digital products and services is our strategy. Second, strong operational execution is fundamental to our success as a business. And here I'm pleased to report continued progress in growing our EBITDA through both solid revenue generation and by further reductions in our cost base throughout the group. Third, managing an appropriate capital structure is vital to ensuring that we can reinvest in our core business and pursue growth opportunities in new services and adjacent industries. The upgrade in our long-term debt -- long-term credit rating by Fitch to investment grade during the quarter was a welcome validation of the good progress that we've made in recent months. And fourth, active management of our portfolio is a vital component in maximizing value for our shareholders. Here, the successful conclusion of the GTH tender offer was an important milestone, enabling us to simplify our corporate structure and this will allow us to enjoy the cash flows and economic benefits of these operating companies in full. Harnessing these elements together is our new strategy framework, which stretches our long-term growth ambitions beyond our core connectivity businesses into new services, enabled through the latest digital technologies and over time to future assets that will define the products and services of tomorrow. Looking to the next slide. Ours is a diversified portfolio of businesses which, as we set out at our Capital Markets Day, naturally separates into three pillars. Our cornerstone Russia; the growth engines of Pakistan, Ukraine, Uzbekistan and Kazakhstan; and our frontier markets the largest of which are Algeria and Bangladesh. The diversification benefits of these, each with their own unique operating characteristics and different levels of market development, was clear in quarter three, during which underperformance in Russia was offset by operating strength in our growth engines, keeping our group revenue and EBITDA on track with full year targets. Much of our longer-term growth will come from revenue opportunities outside of our core connectivity business. This is evident in the initial traction that we are seeing in new services, KPIs for which we have set out here. Fundamental to these are the self-care ecosystem that we are deploying in a number of our key markets, which transform the relationship between us and our customers. These are enhancing our understanding of the individual needs of our customers and helping us to tailor local services to match. These include content services like pay-TV, which in Russia now attracts 1.8 million monthly active users. These also include transformative digital financial services in markets like Pakistan, one of the world's most unbanked, where our market-leading JazzCash platform now accounts for just under 7% of our total revenue in that market. Now turning to numbers. Our business is in good shape as we enter Q4. On an organic basis, we have delivered revenue growth of 4.6% at the nine-point -- nine-month stage and roughly twice this growth rate in organic EBITDA, which stands at 8.8% for the first three quarters. Data continues to drive our growth and dominate our medium-term revenue opportunities as we develop new products and services to monetize the demand that we see across our markets. Cost remains a core focus for us and here we continue to deliver on the one percentage point reduction in cost intensity that we committed to as an annual ambition for three years when we announced full year results in 2018. This is on top of our commitment to progressively reduce our corporate cost and we remain on target to half these from their full year 2017 levels as we exit this financial year. Our business is a cash-generative one and at the nine-month stage delivered just over $900 million in equity free cash flow against our full year goal of around $1 billion. And finally, we have continued to maintain levels of investment in our networks necessary to maximize the value of our core connectivity franchise as well as developing new services. More of how these are being phased in at the country level when Alex takes us through our individual markets later in the call. I announced one very important milestone for our group just a few days ago, the end of VEON's external compliance monitorship, which concludes our deferred prosecution with the U.S. Department of Justice. This decision demonstrates that VEON has successfully established a robust and sustainable compliance and controls program. VEON's commitment to ethics compliance and controls is unwavering and is reflected in our structures, procedures and daily ways of working throughout the organization. On that note, I would like to hand over to Murat who will take you through the group's financial performance during the third quarter.
Murat Kirkgözis: Thank you, Ursula, and good morning everyone. Turning to our group financial performance summarized here on slide 8. Operationally Q3 was a solid quarter for the group. The changes in tax and administration fee in Pakistan had a material impact on our reported growth rates, the precise impact of which we have reconciled in detail in our earnings release. These aside, our financial performance is sound and tracking in line with our expectations. Reported revenue and EBITDA growth were minus 4% and 16.5% respectively. At the group level, organic revenues declined 0.9% year-over-year. Although excluding the impact of the Pakistan tax and fee changes, the growth rate was 2.4% year-over-year. Once again, data revenue led our service revenue growth rising by 18.4% organically year-over-year with particularly strong performances from Ukraine, Pakistan and Bangladesh. Also currency weakness was far less of a factor in Q3 compared with prior quarters. The negative FX impact on our top line was limited to $72 million compared to $179 million in the last quarter as a result of a relatively stable ruble and stronger Ukrainian hryvnia. EBITDA grew organically by 5% year-over-year resulting in a healthy pre-IFRS 16 EBITDA margin of 38.6%. Excluding the impact of Pakistan tax and fee changes, the year-over-year organic EBITDA growth was 11%, a solid result supported by lower costs. We continue to make good progress on cost control during Q3 with our cost intensity ratio declining 2.2 percentage points as compared to the prior year aided particularly by lower operating costs in Russia, Ukraine and HQ costs, which are 25% lower at the nine-month stage versus last year. Our Q3 reported equity free cash flow excluding licenses was $370 million. Excluding IFRS 16 adjustments, equity free cash flow was $269 million and reached $902 million for the first nine months. These equity free cash flow numbers include the negative impact of $136 million paid by VEON in respect of the GTH Tax Settlement, which was not included in our full year equity free cash flow guidance of $1 billion. We are on track to deliver on our equity free cash flow target for full year 2019 excluding this impact. All in all our results demonstrate clearly the portfolio effect of the strong results from our growth engines offsetting the weakness in our largest market Russia, a factor Alex will address in detail later in the call. Moving to slide 9. Looking at our Q3 performance on a company level, revenue weakness in Russia is a key feature, a function of the network quality and distribution challenges we face there and the unlimited data bundles that continue to dominate the marketplace. Alex will discuss this in greater detail when he takes you through the -- our country performance. Tax and admin fee assets aside the weakness in Russia was offset by the performance of growth markets, which delivered growth rates and organic revenues and EBITDA well above the group average. As a single cluster, our frontier markets delivered a broadly flat organic revenue performance and it was particularly encouraging to see the teams in Algeria and Bangladesh execute well in their challenging macro environments. Finally, it is gratifying to report an increase in reported EBITDA for the quarter, helped by good cost control in Russia and continued progress in reducing our corporate costs. Moving to slide 10, looking at our Q3 performance by product, once again, data revenues led growth at the group level providing offset to weakness in voice revenues as well as the lower equipment and accessory sales in Russia. As noted on the previous slide, lower costs helped our EBITDA performance, more than offsetting the small decline in organic service revenue. The impacts of both FX and IFRS 16 are also depicted here. In the case of FX pleasingly lower numbers than in recent quarters as I discussed earlier. The result was reported, total revenue of $2.223 billion and a reported EBITDA of $987 million, once the posted impact of IFRS 16 amounting to $129 million is accounted for. Moving to income statements, reconciling these with our Q3 income statements, a few other items are worth it to note when comparing our financial performance with Q3 2018. Depreciation, amortization and other line includes $89 million in impairment related to Kyrgyzstan compared to $782 million impairments in previous year same quarter. Reported financial expenses increased, impacted by IFRS 16 and by $41 million related to the put option liability with respect to 15% non-controlling interest of Jazz Pakistan. Excluding these, net financial income and expenses decreased year-over-year, mostly due to lower levels of debt. All-in-all, net income from continued operations for Q3 reached $30 million compared to $780 million loss of last year. Again for comparative purposes, note that Q3 2018 results include a gain of $1.279 billion presented as profit from discontinued operations as a result of the completion of the sale of VEON's 50% stake in Italy joint venture to CK Hutchison. We have no such adjustments in Q3 2019. I am on Slide 12. Looking at our debt stock across the quarter, it is gratifying to see that our net debt and gearing trends are both stable over the quarter with our leverage ratio standing at 1.7 times at end of quarter, the same level at which we entered the quarter. This adjusted 2.1 times on an IFRS 16 basis, which is again the same as end of second quarter. This was achieved despite a number of significant payments during the quarter. Aside from CapEx, excluding license of $372 million, we also paid $296 million in respect to our interim full year 2019 dividend and $225 million in Pakistan, as a security deposit in respect to our spectrum license renewal. Taxes of $131 million, which includes the second and final payment of the tax settlements GTH reached with the Egyptian authorities of $82.3 million and the first payment of $54 million was in Q2. We also recorded a $90 million financial gain in relation to the write-back of the deposit held on balance sheet with respect to the projected cost of MTO for GTH. With that, let me hand over to Alex to take you through the performance of our individual markets during the quarter.
Alex Kazbegi: Thank you, Murat, and good morning, everybody. Turning first to our largest market Russia. This is slide 13. In Russia, our operation continues to face challenges related to firstly, the coverage and performance gap we still have with our competitors despite making improvements; secondly, market pricing structures favoring unlimited tariff plans; and thirdly, effectiveness of our distribution. These altogether have negatively affected our performance. Beeline saw a year-on-year decline in its mobile customer base due to these factors, as well as due to the decline in sales through alternative distribution channels, while quarter-on-quarter we saw increase in customer base. Mobile service revenue followed the subscriber trends. And while data volumes continued to grow strongly, up 53% year-on-year, data revenue growth was slower 3% in this quarter. Our reduced focus on low-margin equipment sales during the quarter resulted in a 10% drop in respect of sales year-on-year. On the positive side, the number of broadband customers continued to grow, resulting in an 8% growth in respect to revenues. Managing costs against this challenging revenue environment remains our focus. In this area, cost control measures in Q3 allowed for positive year-on-year growth in EBITDA, marking the revenue trend. Our LTM CapEx to sales continued to increase in this quarter, following our focus on network quality improvement. And we expect this ratio to reach 22% for the full year 2019 inclusive of the Yarovaya-related CapEx and pre-IFRS 16. As an example, number of 4G base stations increased 43% quarter-on-quarter during the third quarter of 2019. As we mentioned, we are actively addressing challenges that we face in Russia. Following the three priorities set out at our Capital Markets Day in September namely, first, continuing network quality and performance improvements; secondly, optimization of our distribution footprint; and thirdly, restoring price discipline to the marketplace through simplified bundled offers. Given the sequencing of these priorities, a turnaround in our Russian operations is likely to take several quarters. Turning to slide 14, Ukraine, it was another quarter of solid outperformance for Kyivstar, with service revenue growth of 18.3% in what remains one of our strongest growing markets. Successful marketing activities alongside improving network quality and the reliability drove strong growth in data usage up almost 17 -- 70% year-on-year on a per-subscriber basis and a 37% rise in data revenues. Kyivstar's mobile customer base saw a slight fall, down 0.8% year-on-year, as multi-SIM users continued to decline, but this was more than offset by a solid rise in ARPU, plus 19.9% year-on-year, led by data services. EBITDA pre-IFRS 16 increased by 27.7% year-on-year driving an EBITDA margin of 62.1%, up from the 57.5% recorded in Q3 last year. Strong revenues led the EBITDA performance, while group cost control in the period further supported margin expansion. Reported EBITDA post IFRS 16 increased by 33.1% year-on-year as a consequence. We continued the rollouts of our 4G/LTE network during the quarter, which is reflected in the 61.8% rise in CapEx during the quarter. That is excluding licenses on a pre-IFRS 16 basis. In July 2019, the National Bank of Ukraine abolished limits on the repatriation of dividend. This is a positive decision and one that will support the VEON Group's cash flows. During Q3, Kyivstar upstreamed UAH 4.5 billion in dividends from Kyivstar. Turning to the next page, Slide 15, Pakistan. Jazz continues to perform well operationally. Although that there is a number of moving parts in Pakistan's reported numbers this quarter, our underlying business there is fundamentally strong. Worth also to note, here that the financial impact of this effect will carry on until second quarter 2020. We have explained at length in our earnings release how the suo moto order and the administration fee reversal affected our reported numbers. But adjusting for these, organic revenues and EBITDA increased by 14.3% and 14% respectively during the quarter. Jazz subscribers which grew 5.6% year-on-year significantly increased their data volume consumption, which grew more than 70% year-on-year, driven by growing smartphone penetration and subscription to more services. Jazz TV is an example here. It had over 3.5 times more monthly active users in September than at the end of 2018, namely 558,000 versus 154,000 in December 2018. And illustrating how major event coverage can impact the -- its use, we saw average time on app rise by two-thirds during the Cricket World Cup in June and July of this year, rising to 26 minutes per day compared to 15.5 minutes per day during the five months prior. Fast-growing data consumption translated into mobile data revenue, growing by about 25% year-on-year to comprise just under one-third of Jazz total revenues. DFS revenues continued to contribute positive to our data revenues, with Jazz Cash revenues increasing 43% year-on-year in the quarter. We continue to make significant investments in our network to accelerate towers rollout. Finally, I would note, that in September 2019, Jazz deposited 50% of its disputed license renewal fee, approximately US$225 million as security, under protest in order to maintain its appeal in the Islamabad High Court regarding the PTA's underlying decision on the license renewal. Moving to the next slide, slide 16, Uzbekistan, this is another market where tax has an impact on our reported numbers. The business delivered a 4.6% sequential improvement in revenue year-on-year. And while total reported revenue decreased by 8.8% on a year-on-year basis, adjusting for the impact of the reduction in mobile termination rates and the introduction of the 15% excise tax, revenues would have grown by around 7% year-on-year. Data revenues as in all growth engine cluster countries, drove our operational performance, rising by 20.3% year-on-year on the back of a doubling of mobile data traffic, supported by our continued rollout of high-speed data networks, increased multiple penetration and the increased uptake of bundled offering by our subscribers. Despite the tax headwinds, we were able to bring our EBITDA margin to 53%, an eight percentage point margin expansion in 12 months on a pre-IFRS 16 basis. Our LTM Q3, 2019 CapEx to revenue ratio was higher than last year, reflecting high levels of investment in the first half of 2019. On the regulatory side we have an expectation that Uzbekistan's international gateway will be liberalized at/or around the end of 2019. This in our view would be a positive for the company. Moving to the next slide 16, Algeria. Algeria remains a challenging market both in terms of macro environment and political uncertainty, as well as the high levels of price competition that persists in the sector. Against this backdrop Djezzy maintained its focus on both prepaid and postpaid customers with a segmented approach to the market, which it continued to outperform through NPS leadership and an increasing relative share of what remains a contracting market for mobile services. Nevertheless, our customer base reflected this top down trend contracting by 4.3% as competition remained intense in a declining subscriber market base. This also impacted ARPU, which declined by 1.2% year-on-year during the quarter. Although it's significantly low that on a sequential basis, ARPU rose 9.2%, reflecting Djezzy's introduction of a modernized and updated tariff portfolio. At the same time, Djezzy saw a further increase in data customers, which contributed to a 27.8% year-on-year increase in data revenues following continued rollout of our 3G and 4G networks. The decline in revenue remains a challenge for EBITDA performance, which ranked 2.5% year-on-year being also impacted by increased HR costs and bad debt recognition this quarter. The increase in CapEx year-on-year, reflects changes in in-year phasing of investments. LTM CapEx sales rose as a consequence to 15.2% that's pre-IFRS 16 up from 11.3% in Q3, 2018. Moving to the next slide, slide 17, Bangladesh. Bangladesh's operational turnaround continued in Q3 with Banglalink delivering its fourth consecutive quarter of service revenue growth despite a competitive marketplace and continuously challenging regulatory environment. Banglalink once again remained focused on improved network availability and customer acquisition, which has -- which was rewarded by a year-on-year acceleration in revenue growth, which was 3.8% in the quarter. Service revenue increased by 5.2% year-on-year, driven by the further expansion of Banglalink's distribution footprint and the introduction of new higher priced bundle offers. Data revenue increased by 26.4% year-on-year, driven by increased smartphone penetration and data volume growth, up 83% on a per-subscriber basis. EBITDA pre-IFRS 16 decreased year-on-year by 4% as higher revenues was largely offset by the increase in the minimum tax rate. However, excluding the impact on the tax change, pre-IFRS 16 EBITDA growth would have been 7.1% higher. CapEx excluding licenses pre-IFRS 16 increased considerably year-on-year, reflecting the continued rollout of our 4G/LTE network, following the introduction of the service in February 2018. Now, I would like to hand over back to Ursula for the closing comments and guidance for the remainder of the 2019.
Ursula Burns: Thank you, Alex. Let me close the formal part of this call with some observations on where we stand at the nine-month stage of our financial year. Overall, I'm encouraged that the diversified portfolio of businesses that we operate has collectively delivered another solid quarter. Quarter three has been a complicated one in terms of regulatory changes in a number of our markets, particularly Pakistan. But the operating performance of the group remained solid and growth opportunities remain on track. That said, the continued underperformance of Russia is something that we are working hard to address. We are in the process of making a course correction and strategy here, which will take a number of quarters to take full effect. But we remain committed to improving the operating performance of Russia our largest market. In the meantime, we shall continue to drive our revenue opportunities across our markets, guided by our new strategy framework and supported by the new partnership between Sergi Herrero and Kaan Terzioğlu as joint Chief Operating Officers whom together bring a terrific blend of skills through, which to manage the three operating pillars of our business. Underpinning this strategy is a greater flexibility that is embodied by our new dividend policy that we announced in September, which will provide the flexibility that we require to execute on VEON's investment opportunities in a way that maximizes returns for our shareholders. Finally, our financial guidance. The performance that we've delivered during the first nine months of the year puts us on track to deliver against our targets, namely low single-digit organic revenue growth; at least mid-single-digit organic growth of EBITDA; and equity free cash flow excluding licenses of approximately US$1 billion. These are targets that I am happy to reconfirm today. Before I hand over to the operator, I'd like to thank Kjell Morten Johnsen for his commitment to the group over the past number of years and most recently as COO for the group. We wish him all the best in his future endeavors. Thank you Kjell from myself and from the company. With that, I will hand the call back to the operator for questions. Operator?
Operator: Thank you, madam. Ladies and gentlemen, we will now start the question-and-answer session [Operator Instructions] Thank you. Your first question comes from the line of Cesar Tiron of Bank of America. Please ask your question.
Cesar Tiron: Yes. Hi, everyone. Thanks for the call and thanks for the opportunity to ask questions. I have two questions if that's okay. The first, I mean, they're both on Russia. The first one, in which areas were you able to save costs in Russia to allow for margins to expand? Do you think that's sustainable? And by this I mean if you have another couple of quarters of negative service revenue growth, are we going to see margins decreasing again? And the second question, if you can talk a bit more on the details on the increased CapEx plan in Russia. Is this mainly going to increasing base stations? How long do you think you need to bridge the gap with competitors, because I think you're trying to do so for a couple of years now? And are we going to see Russian CapEx trending towards 22% only for this year or also going forward? Thank you so much.
Ursula Burns: Alex, why don't you start?
Alex Kazbegi: Okay. Cesar, thank you. Let me start. Now on -- so if you look at our EBITDA performance for this quarter, I mean, there were also a number of the certain provisions one, there were one-off reversals of certain provisions previously so that affected it. However, we also reduced our commercial cost, because we have closed down 120 shops and that clearly affected the performance of the EBITDA positively. Going forward as we said, I mean, we are committed to improve the EBITDA margin and the cost intensity by one percentage point. So, clearly that target has not changed. Now on the second question about the CapEx, the -- as we guided for the long-term LTM CapEx revenue for the full year will be about 20%. That does include the ROI. However, we will do in Russia whatever is necessary for us to fix the gaps, which we feel this will exist in the market. Now we have addressed this issue. As I said the LTE base stations just in this quarter rate grew about 43%. So clearly we are very much on track to addressing all kind of performance gaps we might still have in the market. And we will look at the targeted investment in order to bring up the speed the coverage and the capacity in the areas where we feel it is most needed.
Cesar Tiron: Thank you. If you just allow me a follow-up sir for the housekeeping question. But would you please disclose what was the EBITDA margin in Russia or the change in EBITDA margin in Russia excluding the -- this provision reversal?
Murat Kirkgözis: The impact in Russia is close to -- in the south of RUB 1 billion in the quarter three reversal bad debts and all the related provisions that were reversed.
Cesar Tiron: Thank you so much.
Ursula Burns: Thank you.
Operator: Thank you. Your next question comes from the line of Slava Degtyarev of Goldman Sachs. Please ask your question.
Slava Degtyarev: Yes. Thanks for the presentation. Also a question on Russia. What's the strategy for the distribution improvements in the company? Do you aim to continue reducing the number of stores broadly at a similar pace meaning around 120 stores per quarter? Thank you.
Ursula Burns: Unit.
Alex Kazbegi: So, on Russia I mean, it's a two-pronged question I would say. One is that as you know the distribution system or network if you wish for all the players is very inefficient. So we are very much welcoming the moves by all the other players in the market to also reduce their footprint. I think recently the MTS again repeated that they will be reducing their footprint in the market. We also show that we are optimizing our network 120 stores down just in this quarter. So clearly that process will continue. Our general aim is to convert so to say the stores -- the inefficient stores to much more efficient ones close down with the ones, which are less efficient and move generally to more digital more online sales. That will be our long-term goal.
Ursula Burns: I was going to add something, but I think Alex covered it all. It's optimizing distribution as much as it is optimizing the cost.
Slava Degtyarev: Okay. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Alexander Vengranovich of Renaissance. Please ask your question.
Alexander Vengranovich: Yes. Good afternoon. Just two questions. So, first one again a follow-up on the distribution in Russia, based on what you've seen over the third quarter have you already started to see that your competitors follow your movement with regards to the optimization of the distribution? Or it's just worth at this stage and you're probably the first one on the market to start really optimizing the number of the stores? That's the first question. And the second question is on Uzbekistan surprisingly. I've noticed that, there is a sequential – quite substantial decrease of number of the subscribers in Uzbekistan over the last two quarters. Just wanted to understand whether there are any specific reasons for that or there are any one-offs there. Thank you.
Alex Kazbegi: On the distribution, I mean, it's difficult to comment what the competition does. Clearly, we need to wait when they will announce on the actual numbers. However just referring again to MTS, they announced or they declared that they would be looking at reduction of the distribution footprint by up to I think 300 stores already last quarter and also before. So I think we will see once the numbers were reported, what is the actual so to say reduction there. But in general, I would say that trend clearly towards more sales to the monobrand shops and optimization of the model branch. And here for instance, one other thing which I would mention is that it's us also changing the KPIs and looking at the long-term value of subscriber as the main KPI for signing new subscribers. It's the key for the overall market to cut down the overall footprint on the distribution side. So I don't think that, I can say more on that one at the moment. In Uzbekistan, we basically have been focusing very much on the value. So, in that sense we have deliberately in some way let go to some of the low-end subscribers and the value focus actually worked out very well for us. We saw that the organic growth of the revenues have been very robust and – however, going forward given again the competition is quite irrational in Uzbekistan, we will be reviewing and revising our tariff plans, and our pricing model in order to be a bit more competitive in the market. However, there was nothing else, but our focus on the value customers in this quarter.
Alexander Vengranovich: Okay.
Nik Kershaw: Thank you. Operator?
Operator: Thank you. [Operator Instructions] Your last question comes from the line of Ondrej Cabejšek of UBS. Please ask your question.
Ondrej Cabejšek: Hi. Hello. Thank you. I've got two questions please. The first one on Russia, if you could just explain a bit how you're thinking in terms of balancing the cuts in the commercial costs like you're saying with apparently within market share. And I guess, what I'm aiming at is wouldn't it be better to wait with cutting commercial cost only after you've fixed some of the network issues that I think are partly to blame for the market share losses? And then the second question on Pakistan, if you could just please break down the impact of – well, the one impact of the reversal of the charges when you credit to them to customers what impact of the overall decline there was attributable to book to this one-off? Thank you.
Alex Kazbegi: Ondrej let me take the first one. So in general I agree the network should proceed to any other so to say changes. However, the strategy in Russia is not just the distribution network of course, it's also pricing. So we have of course the background of pricing being very much due to the unlimited prices. However, we have been also changing our pricing model as well. I don't know, if you saw our new bundles in the market, I mean, they're much more geared again towards the value if you wish. Now specifically on the commercial side, I think that cutting commercial cost is not a goal. It is just follows through the fact that we want to optimize our distribution footprint and distribution network and we are just closing down the inefficient shops or repositioning them. So that is driving the reduction of commercial costs. It's not a deliberate cost-cutting exercise from our side. We are very committed to sort of boost our presence in the market. So indeed in that way, the network investments come first and then of course all our commercial activities follow through that.
Murat Kirkgoz: Let me address the second part of the question. In particular reversal had a $14 million impact to Q3 results, while the tax and fees or the changes in the fee structure will have a continuous impact in the remaining two, three quarters more on a year-over-year comparative basis. For Q3, the impact was $14 million.
Ondrej Cabejšek: That's 4-0, yes?
Murat Kirkgoz: 1-4, 1-4.
Ondrej Cabejšek: 1-4. And this effect will not be carried over into the fourth quarter, because there's this 45 days of the validity of the reversal that you mentioned? Is this also – 
Murat Kirkgoz: We totally have $26 million of reversals of which $14 million is being recorded into Q3 and about $12 million would be affected partially into Q4. However, we anticipate a big chunk of this Q4 impact to be offset with the use of these services within the Q4 so to be not having a full impact on sub line in Q4.
Ondrej Cabejšek: All right. That's clear. Thank you very much.
Operator: Thank you. There are no further questions at this time. Please continue.
Nik Kershaw: If there are no more questions, thank you very much everyone for dialing in. If you do have any more questions please just reach out to us. Thank you very much. Good day.